Presentation:
Operator: Good afternoon ladies and gentlemen and welcome to the FirstEnergy Corp. third quarter 2009 earnings call. (Operator Instructions) It is now my pleasure to introduce your host, Irene Prezelj, Director for Investor Relations for FirstEnergy Corp. Thank you Ms. Prezelj, you may begin.
Irene Prezelj: During this conference call, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements with respect to revenues, earnings, performance, strategies, prospects, and other aspects of the business of FirstEnergy Corp. are based on current expectations that are subject to risks and uncertainties. A number of factors could cause actual results or outcomes to differ materially from those indicated by such forward-looking statements. Please read the Safe Harbor statement contained in the consolidated report to the financial community, which was released earlier today and is also available on our website under the Earnings Release link. Reconciliations to GAAP for the non-GAAP earnings measures we will be referring to today are also contained in that report, as well as on the Investor Information section of our website at www.firstenergycorp.com/ir. Participating in today’s call are Anthony Alexander, President and Chief Executive Officer; Mark Clark, Executive Vice President and Chief Financial Officer; Harvey Wagner, Vice President and Controller; Jim Pearson, Vice President and Treasurer; Bill Bird, Vice President of Corporate Risk; and Ron Seeholzer, Vice President of Investor Relations. I will now turn the call over to Mark.
Mark Clark : Thanks Irene and good afternoon everyone and thanks for joining us today. I’ll start today’s call with a review of third quarter results followed by an update on other financial matters. I’ll then turn the call over to Anthony for an operational overview as well as an update on regulatory activities in Ohio. As I review our results, it may be helpful for you to refer to the consolidated report to the financial community we issued this morning. We continue making solid progress towards our 2009 goals despite the negative impacts of the economy, significantly lower wholesale power prices, and the unusually mild weather across our region. Excluding special items normalized non-GAAP earnings were $1.11 per share compared to $1.60 in the third quarter of 2008. On GAAP basis third quarter earnings were $0.77 per share compared to $1.55 per share in the same period last year. Three special items had the net effect of decreasing this year’s GAAP earnings by a total of $0.34 per share. The first of these was a debt redemption premium of $0.30 per share related to the cash tender offer completed in September, $1.2 billion of FirstEnergy Corp.’s 2011 notes. The second special item was $0.07 per share restructuring charge related to an employee severance and our voluntary enhanced retirement program. The third item was a $0.03 per share positive adjustment related to impaired securities held in our nuclear decommissioning trusts. There were four main drivers that had positive impact on this quarter’s non-GAAP results. First the Ohio Utilities distribution rate increase added $0.05 per share. The second positive driver for the quarter was $0.06 per share increase from the Ohio Distribution Service Improvement rider. Third O&M reductions contributed to $0.17 per share for the quarter reflecting lower labor and benefit costs, the use of fewer contractors, and other cost control measures. Our recent voluntary enhanced retirement program and an employee severance program had reduced employment by about 1,000 or 7.5% since the start of the year. Through the end of the third quarter O&M reductions totaled $242 million. Given the strong performance in this area I believe we’re on track to meet our cost savings goals for the year. Our O&M reductions would have been $0.11 per share higher but we are recognizing the repayment of reduced employee salaries, 401-K bonus match and incentive compensation payments that may be paid for 2009. As you may recall we did not factor these three items into this year’s O&M target when developing our 2009 earnings guidance. But at the same time we challenged our employees to find savings over and above our target to provide an opportunity to earn back their wages and begin to earn incentive compensation for 2009. While we still have another quarter to go we are proud of what they have accomplished so far. Depending on our performance during the fourth quarter we may reduce or eliminate the third quarter accrual if we fall behind our performance targets. Finally we realized a $0.23 per share gain from the sale of securities held in our nuclear decommissioning trust. During the quarter our investment committee converted the majority of trust holdings into cash and cash equivalents as part of their overall investment strategy to limit the volatility associated with the recent performance of our trust funds. As many of you are aware there has been a significant amount of year over year volatility with respect to everyone’s pension plan and other similar financial assets. By way of example, the projected year over year change in our pension plan is a negative $0.42 per share. The investment committee did not feel this level of volatility was acceptable and will be transitioning the assets into investments with risk return characteristics appropriate for each of the funds including our pension, corporate owned life insurance, and the nuclear decommissioning trust. The committee’s decision is consistent with the company’s financial strategy of aligning the asset with the liability. In addition investment income from corporate owned life insurance increased earnings by $0.02 per share. These positives were offset by eight negatives. First generation gross margin reduced earnings by $0.32 per share during the quarter primarily due to lower sales volumes in Ohio which was driven by the effects of the economy, lower wholesale market prices, and mild weather. Given the number of factors impacting generation margin we’ve included a more detailed summary on page two of the consolidated report. That summary provides additional details on all of the components that make up this earnings driver and we are hopeful this additional material will make the discussion easier to follow. FirstEnergy Solution served approximately 65% of the Ohio load during the third quarter of 2009 compared to nearly 100% a year ago. This represents the 51 tranches won in the May auction, the acquisition of an additional 21 tranches, and the ramp up of our government aggregation communities and direct commercial and industrial customers over the quarter. Through last week FES increased the load it serves in Ohio to a total of 73% which is consistent with our strategy. On a year over year basis our competitive retail sales were strong increasing 18% over last year. Generation output was 17.5 million megawatt hours, a reduction of 21% compared to the third quarter of 2008. Through the end of the quarter generation output was 50.2 million megawatt hours, this is lower then we projected for the first three quarters and puts us behind in achieving our original estimate of 70.1 million megawatt hours for 2009. As a result we are adjusting our full year output forecast to 65.7 million megawatt hours. Lower generation sales were offset somewhat by lower fossil fuel and transportation costs related to the reduction in generation output. While purchased power volumes and rates were both lower this quarter, purchased power cost reduced earnings by $0.08 per share primarily due to higher PGM capacity expenses at FES, Met-Ed and Penelec. After generation margin the second negative relates to lower transition cost recovery margin which had a net negative impact of $0.28 per share. Recovery of transition costs for Ohio Edison and Toledo Edison ended in December, 2008 in accordance with the Ohio rate certainty plan. While recovery for CEI will continue at a reduced rate through 2010. Third quarter earnings also reflected the absence of a $0.12 benefit recorded in the previous year’s quarter from the resolution of tax issues that were settled in 2008. Fourth, higher pension expense reduced earnings by $0.11 per share. In September we made a $500 million voluntary contribution to the plan. At the same time we revalued the plan, included lowering the discount rate to 6.0%. On a net net basis, we expect to see a slight reduction in the pension expense in the fourth quarter of $0.01 per share. If we had a $0.09 per share reduction in earnings in the third quarter due to the absence of the Ohio distribution reliability deferrals that ended in December of last year. Six, lower distribution delivery revenues reduced earnings by $0.08 per share principally due to an 8% decline in sales to residential customers. This was largely driven by the mild weather we experienced during the summer. July in particular was significantly cooler then normal. For the quarter cooling degree days were 14% lower then last year and 17% below normal. Industrial deliveries decreased 16% while commercial deliveries declined 6%. As we’ve discussed before lower volumes in these segments have not had an impact on revenue so far this year because of demand base rates, the expiration of certain Ohio contracts at the end of 2008. I’ll talk more about some of the economic activities were seeing in the region in a moment. In total electric distribution deliveries declined 10% compared to the year ago quarter. These lower volumes were partially offset by lower general taxes in the amount of $0.02 per share primarily for kilowatt hour and gross receipts tax. Seven, higher depreciation expense reduced earnings by $0.04 per share due to incremental property additions. And finally, net financing costs reduced earnings by $0.01 per share as capitalized interest related to the [Sameus] environmental retrofit construction project was offset by higher interest expense related to the financing activity that took place in the fourth quarter of 2008, and the first three quarters of this year. As I mentioned the continued economic downturn did have an impact on the company during the quarter. But we are not seeing a full rebound, we have observed what I’m calling hopeful signs. Information related to some of our largest customers in the industrial class shows this group experienced a trough in electric usage in April, with slight to moderate improvement each month thereafter. It is however important to note that they remain below January usage levels. Steel is an important indicator of economic health in our region and Mattel Steel, one of our largest Cleveland area customers called back its second shift in early October. Two weeks ago the World Steel Association said that developed nations should see growth in the steel sector of about 15% in 2010 which is a strong prediction compared to the 34% retraction the group expects in 2009. Beyond steel we continued to see strong growth in other sectors. One example would be the Cleveland Clinic which is Northeast Ohio’s largest employer in the midst of an expansion plan. In addition to the financial results I discussed, an important element of our financial strategy has been to align our liabilities to the appropriate assets. We made significant progress in support of this strategy during the quarter by completing four financings totaling nearly $2.5 billion. Notable among these was the $1.5 billion unsecured notes offering for FirstEnergy Solutions which was the first direct issuance of long-term debt for our competitive generation subsidiary. In addition Cleveland Electric Illuminating Company issued $300 million of first mortgage bonds, and Pennsylvania Electric issued $500 million of unsecured notes. While $177 million in air quality development revenue bonds were issued in Ohio on behalf of FirstEnergy Generation Corp. relating to air quality compliance expenditures at the [Sameus] plant. Also during the quarter we retired $1.2 billion of holding company debt through a cash tender offer. These financings as well as other actions like O&M reductions have helped to build our financial flexibility while significantly reducing our refinancing risks for the next three years. Now I’ll turn things over to Anthony.
Anthony Alexander : Thanks Mark and good afternoon. I’d like to start with a regulatory update beginning with our filing last week at the Public Utilities Commission of Ohio for a market rate offer or MRO. As you know generation pricing under our current ESP or electric security plan, has been established through May 31 of 2011. Our MRO proposes a long-term competitive bid process for procurement of generation service for our Ohio Utilities utilizing a series of descending clock slice of system auctions similar to the one conducted in May of this year. Notably different however would be a staggered solicitation process. In June and October of 2010 we would conduct solicitations for 12, 24, and 36 month products which combined would provide for generation service for 100% of the June 1, 2011 through May 31, 2012 period, two-thirds of the needs for the following year, and one-third of the needs for the next year. Subsequent auctions also conducted in June and October of each year would complete a transition to where one-third of the total load would be procured every year with three year products. This would move our Ohio Utilities to a system not unlike New Jersey’s auction for basic generation service where a similar approach provides for reduced volatility in customer prices. The Ohio statutes call for a 90-day Commission review period. Accordingly we would anticipate a final decision by January 18, 2010. Importantly this [inaudible] dovetails with our application currently before the Federal Energy Regulatory Commission to integrate into PGM on June 1, 2011 which would coincide with the implementation of generation pricing from the 2010 auctions. We’re expecting to hear from the FERC on this application by year end. Moving now to a couple of other project matters starting with our three month combined cycle facility. Last month we announced our decision to accelerate completion of the Freemont plant. We now expect to complete plant construction by the end of next year so that the facility can be operational in 2011 and available to respond to increased customer usage as the economy recovers. Other benefits include immediate support for the local economy surrounding the plant by bringing jobs to the Northwest Ohio region. And if we decide to sell this asset in the future, a completed facility will put us in a better position then a partially completed one. It will cost approximately $180 million to complete the facility. I’d also like to update you on our Montana coal mine. I’m pleased to report that we continue to achieve solid progress at Signal Peak. As you know the rail spur and wash plant are already completed. Installation of the long wall and associated equipment is proceeding smoothly and is more than 70% complete. We’ll begin testing the long wall next month. We’ve already received nearly 100,000 tons of coal at our generation facilities for additional testing. In addition we’ve sent test shipments to other domestic utilities and several test cargos are currently shipping to Vancouver which are scheduled to leave for Asia markets shortly. So all in all, great progress and we expect to get the mine into full production later this year or very early next year. In closing I’d like to reiterate our firm commitment to delivering shareholder value. As Mark mentioned, our employees are engaged and we’ve captured significant O&M savings thus far. I believe these efforts will continue into the fourth quarter and enable a solid finish for the year. Another bright spot has been the strong execution of our FES team in both government aggregation and direct sales to commercial and industrial customers. Not only have they exceeded their goals for the year particularly in Ohio, they have set the stage for future success by doing so. While we can control our retail sales efforts and O&M costs, unfortunately we can’t control the economy and weather. And although we’re seeing some early signs that the economy is coming back as Mark mentioned, its not at the point where we are predicting the likelihood of a sustained and complete rebound. In addition wholesale power prices are not as robust as we’d obviously like to see them. As a result we decided that it makes sense to narrow our guidance range to $3.70 to $3.80 per share given what we’ve seen so far. I know you are also keenly interested in what 2010 will bring. I can tell you we are currently refining our outlook and assumptions as we finalize our 2010 earnings guidance which we plan to share on December 3 in New York. Now we’d be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of [Sarasha Khan] – Incremental Capital
[Sarasha Khan] – Incremental Capital : I was trying to get a better sense as to what would, had the volumes been this year if weather was kind of normal.
Mark Clark : That’s a good question, if you look a the residential side, the volume in the revenue side was offset by about $34 million, we said $0.08 was below our distribution revenues. About $0.07 of that was attributable to the residential. In Ohio you’re seeing some reduction of 12%, PA 8%, New Jersey 7%, [net] total 10%. Most of that Ohio reduction was industrial which is around 16% and even most of that was in steel, metal, auto and tire. Hopefully that is a lot of detail and answered your question.
Operator: Your next question comes from the line of Paul Ridzon - Key Bank Capital Markets
Paul Ridzon - Key Bank Capital Markets : About your guidance, it seems like you’ve kind of found $0.23 in your portfolio optimization, what were the offsets that made you drive down the top end of guidance.
Mark Clark : I think as Anthony alluded to before the unseasonably warm weather in July particularly and then throughout the third quarter, the industrial sales I just alluded to being down 16%, the weather effecting the residential side, just the general economy. Nothing specific other then we can’t make that up in the fourth quarter, the weather and the industrial sales so we just felt more comfortable reducing the guidance down at the top end.
Paul Ridzon - Key Bank Capital Markets : And then you mentioned $0.11 around deferred comp or that could come back or, I was just unclear what that discussion was.
Mark Clark: When we provided the original O&M guidance it did not include any incentive comp, salary reduction or 401-K bonus dollars in it. And what we said to our employees was if you would like to get your salary back, 401-K bonus match and any form of incentive comp, you’ll have to exceed our O&M guidance. So through September we’ve expensed $63 million for incentives meaning that our employees earned that amount by reducing O&M expenses some $305 million for the first nine months of the year and that nets us down to the $242. Now in the fourth quarter if we don’t stay on path for achieving our O&M reductions we will take back the incentive comp and salary and 401-K bonus match. So it is possible that they achieve it and continue to earn. It is also possible that they slow down and we will reverse some of these entries.
Operator: Your next question comes from the line of Dan Eggers - Credit Suisse
Dan Eggers - Credit Suisse: Real quick on the decommissioning trust and the COLI and all that sort of stuff, what was the cumulative number for this year and where were you [inaudible] off from guidance perspective, was any of that in this year’s number.
Mark Clark : Its kind of a catch-22. On the one hand if we weren’t capturing the O&M savings we wouldn’t have put the incentive comp back in. So we kind of look at the whole thing. We’ve moved some of our plants around in terms of production, outage schedules, things like that. So everything kind of came into play. In terms of the actual number for the third quarter, and Harvey stand to correct me, was $157.4 million as compared to $46.4 million last year. Since you’ve asked if you don’t mind I’ll do the pension as well. The pension last year had the impact of benefiting earnings by $0.12, this year its effected it, we expected by $0.28, that’s the $0.40 delta. And then on the COLI, that was a $0.02 positive this year and I think it was an $0.08 last year, so COLI had a, so that added $0.10 year over year and that’s specifically why the investment committee is looking to take this volatility out. Its just, $0.40 here, $0.10 here, $0.30 here, its just too volatile. And it makes it difficult for us to manage so hopefully that’s the answer.
Dan Eggers - Credit Suisse: As you think about, looking into 2010 and I know its way ahead of guidance but as you rebalance these portfolios what is the right run rate for pension expense. Does that mean that kind of the minus $0.28 this year on a year over year basis, is that the new base line if you stabilize out the portfolio or if you expect lower returns and a more balance portfolio, does that mean there’s actually an increase in expense next year. How should we think about the long run implication of—
Mark Clark : I can’t give you the guidance for 2010 because we’ll reset the pension expense the end of December, but you do know that we put a $500 million contribution which would increase the asset value. Now the big trigger after that would be what occurs with the discount rate and we’ve lowered it several times this year down to 6% when we remeasured the pension. So I think you could expect to see with more assets a higher return on that side but the big unknown at this point I would say would be the discount rate.
Dan Eggers - Credit Suisse: And then from the run time on the coal plants obviously a lot of pressure and system load has a big impact on that but was that all, the lower output, was that all a function of where the market was in the quarter in that your generation wasn’t needed or was it in part maintenance and other reasons why the plants didn’t run.
Anthony Alexander : I think it would be a combination because we commenced some fairly large outages at some of our facilities in September which would have effected our production capability as well as the market was very soft in the rest of the quarter, July and August in particular.
Dan Eggers - Credit Suisse: And then just along those lines, coal inventories where are they right now and are you finding alternatives to avoid over stock piling at this point.
Mark Clark : We have coal to sell if that’s the question. It runs anywhere from about 30 days to 60-some days depending on how you want to measure it. If its measured on net demonstrated capacity the unit its lower. If its measured on average burn you’re going to get a higher number. So I think a good average in there would be about 45 days. We are storing coal. We’ve made provisions for storing coal. We are also as you might expect renegotiating contracts to not have delivery of coal so we’re trying to manage our fuel inventory in recognition of the economy and the weather and so that means storing some, renegotiating some, and burning some.
Operator: Your next question comes from the line of Jonathan Arnold – Deutsche Bank
Jonathan Arnold – Deutsche Bank : Couple of quick questions on, I think if I heard Anthony right you talked about having exceeded your goals for the year in terms of aggregation and retail sales, is that that you’ve actually already surpassed the annual target or you’re more then ahead of plan to meet that target.
Mark Clark : Let me answer that, I would characterize it as that we’re ahead of plan. That we’re very pleased with the results of the group so far. We’re, our strategy is to keep 7% to 10% of our generation back for the wholesale market spot, ancillaries and those types of things. So they’re still selling and they’re still being aggressive in the aggregation particularly in the industrial market. Not surprisingly they started with the large industrial customers and they’re working their way down through the list. So we would expect that to continue to grow throughout the year. And that’s the charge we’ve assigned to them.
Jonathan Arnold – Deutsche Bank : But you’re not saying you’re already ahead of that annual target.
Mark Clark : Yes, yes we are.
Jonathan Arnold – Deutsche Bank : And can you talk a little about margins, as opposed to just the volumes you’ve achieved there and generally the competitive landscape as you look into profitability in that business.
Mark Clark : We’re not going to speak to margin because in our view that’s somewhat competitive information so the margins are about where we’d expect them to be. They’re a little soft right now because of the economy, the weather, in particularly the decline in the industrial sales has left an awful lot of capacity in the market so, it’s a soft market but we’re pleased with the margins and we’re making sales.
Jonathan Arnold – Deutsche Bank : Would you say margins are kind of where you expected them to be when you launched this plan earlier in the year or are they coming in below that or above.
Mark Clark : Well I think (a) they’re lower then what we had originally planned in let’s say 2007 and 2008, improving slightly as we’re working our way through the year and part of our strategy is to get these retail customers under contract so when the auctions are up hopefully the margins will be up when these contracts just automatically be renewed.
Operator: Your next question comes from the line of Hugh Wynne – Sanford Bernstein
Hugh Wynne – Sanford Bernstein : What’s the best way for us to think about the decline in megawatt hours produced by your generation fleet this year and the potential recovery of that output in subsequent years. On the one hand I can construct a scenario in my mind where a more stringent version of the clean air interstate rule might for example might require you to install scrubbers more widely on your fleet and that might lead to some of these plants being retired and that generation perhaps not coming back on a permanent basis. On the other hand you may have a completely different view regarding the recovery of that output with the end of the recession and that generation that’s serving as a tailwind to the earnings in 2010, 2011 and beyond. I’d just be interested in your view as to the fate of that portion of the fleet.
Anthony Alexander : A lot of questions in there, and an awful lot of speculation. My own sense is that what you’re seeing from the standpoint of generation this year is really primarily related to what’s going on in the wholesale markets and the economy. That coupled with about as nice a summer as you can hopefully have and perhaps never experience again. All of which combined to make the market for electricity much weaker and softer then you would expect. Couple that with the fact that we started the summer essentially probably about 80% to 90% open with respect to our generation production, our capabilities roughly 80 million. Ohio is roughly 60 million megawatt hours a load, not quite that high, but I like to think about in those kind of contexts. Its unlikely that we will ever have that load, that much load open as we move through a transition ever again and we all understood that going into this because the rules in Ohio required you to, that you would potentially have to serve 100% of it. So we’re working through that transition the last part of that transition right now which is the conversion of that open position into longer term retail and other sales that lock in the usage of our generating facilities. We’re well on our way to accomplishing what I think is reasonable and my sense is that as the economy recovers, as the demand for energy in the marketplace improves as the industrial load continues to grow. There’ll be plenty of room for every kilowatt hour we can produce and that’s where we’re heading.
Hugh Wynne – Sanford Bernstein : And then just on the question of your O&M savings, you obviously have had enough success so far this year to reinstitute the incentive compensation, have you revised at all your thinking regarding the next year. Are there savings that you believe will be in excess of plan or do you see some of these reversing next year. What’s an updated view on O&M cost cuts.
Mark Clark : Well first, the incentive comp was expensed but as I alluded to before it could just as easily be reversed if we don’t continue on our target. Without again getting into 2010, in my comments, we’ve eliminated 1,000 employees through severance or employee early retirement enhanced programs. So those employees won’t be here. We changed the healthcare benefit programs, we also alluded to I think in the second quarter conference call that we flattened our overall organization back in May which effected about 5% of our non-unionized work force. And the other comment I would make is some of this is aligned with the economy itself. Right now we’re saving overtime but next year we may spend overtime if bringing that plant back on is economic from a revenue standpoint. So certain expenses like the employees will clearly go forward. Other expenses might track down like overtime but they would have revenue offsets to them. So as I said we’re very, very pleased with what our employees have done so far. They’re committed and they have quite a bit of incentive to keep going.
Hugh Wynne – Sanford Bernstein : Can I just ask you to repeat your answer to a previous question, what was the earnings impact of the cool weather in the third quarter relative to normal.
Mark Clark : On the revenue side, on the wires distribution side, it was actually 40 million which was the $0.08, $0.07 or roughly 35 million of that was related to residential and then again on the distribution delivery side, we don’t see much revenue dispersion because of the contracts coming off and some of the demand features of their contracts itself.
Hugh Wynne – Sanford Bernstein : So about $0.08 is the weather impact relative to normal.
Mark Clark : Yes, that’s what I would say.
Anthony Alexander : That would be the weather impact roughly relative to normal on the distribution side of the business. The weather also effects wholesale prices significantly and it did this summer. And that runs through the entire rest of the system including the generation margins that you’re seeing.
Operator: Your next question comes from the line of Paul Fremont - Jefferies & Co.
Paul Fremont - Jefferies & Co.: Really two questions, the first is you’ve routinely stripped out impairments in the securities in your nuclear decommissioning fund as a non operating item, how do you not treat a $0.23 gain due to strategic repositioning in the same way.
Mark Clark : We’d look at that a little differently. I want to emphasize that employee incentives were reduced last year because of the significant $123 million nuclear decommissioning impairment. Our employees are only going to get paid their incentive if we achieve our earnings. Our earnings are partially going to be effected by the nuclear decommissioning trust, its going to be effected by their ability to reduce O&M. Its going to be effected by our ability to continue our path on the retail side, so its effected by a lot of things but last year they were penalized. Whether they are rewarded this year will completely depend on whether we hit our targets.
Paul Fremont - Jefferies & Co.: Right but that’s, this still a $0.23 non recurring gain in the quarter, is it not.
Harvey Wagner: Traditionally we have carved out or normalized out the accounting impairment for the nuclear decommissioning trust. We don’t believe that its appropriate to carve out realized gains from the sale of the securities and that’s been our approach consistently applied throughout the time that we’ve been required to recognize these impairments.
Paul Fremont - Jefferies & Co.: Okay I guess I think you’ve actually said that on past confidence. Second question that I have is back in June you talked about 70 million megawatt hours this year which are now closer to 65, for 2010 you had given a number of close to 81 million megawatt hours. Given where you are in industrial sales and given where the economy is, should we assume that that 81 could be subject to a downward revision.
Mark Clark : As Anthony alluded to we’ll be giving some rather detailed guidance in about six weeks and so we’ll defer that question until then.
Operator: Your next question comes from the line of Gregg Orrill - Barclays Capital
Gregg Orrill - Barclays Capital: Maybe I’ll follow-up on the last question there, did you happen to see much coal to gas switching in the third quarter and could you quantify that if possible. It seemed that that could have been a factor for the low capacity factor in your load following assets.
Bill Bird : We really didn’t observe much coal to gas switching in the market.
Operator: Your next question comes from the line of Paul Patterson – Glenrock Associates
Paul Patterson – Glenrock Associates : Just to follow-up on a few things, one is the deferral of coal to be burnt and what have you, when you’re stock piling that coal, you’re deferring delivery, we’ve seen some companies defer the higher cost coal in terms of what they’re not burning and as a result we’ve seen some cost shifting now projected into future years. How does that work with you.
Mark Clark : I think it’s a balancing act as you might guess. The mining companies would like to deliver the high cost coal and we’d like to not have it delivered so we’re trying to work with them. They have issues we have issues and depends on the supplier. But we are trying to work through it.
Paul Patterson – Glenrock Associates : Okay so all things being equal, because of this less coal that you’re burning, you might see a little bit of a higher increase in coal expense just on a per ton basis in 2010 then we would have otherwise seen.
Mark Clark : Yes, maybe, but I think we’ll be more specific with that on December 3.
Paul Patterson – Glenrock Associates : And then in terms of the shopping in territory I think you said that you have a 73% share, is that correct.
Mark Clark : That’s correct.
Paul Patterson – Glenrock Associates : And that’s the in service, that’s the Ohio territory, your territory correct.
Mark Clark : Correct.
Paul Patterson – Glenrock Associates : Now what about your activities outside of there, have you been able to, I know you had some designs on a few of your neighboring utilities, how is that working and can you give us an update on that.
Mark Clark : What we’ve decided to do was to really be much more aggressive in our own footprint if you will, kind of take first mover advantage where they’re used to our name. As I said before on the industrial accounts, work our way down the list and as we’ve gone down through that list and got communities getting ready to aggregate, now we have the time to start moving into some of the other regions that we’ve talked about. Whether that’s southern Ohio, western Pennsylvania, or west of us, so our first move was to try to capture as much as we could in our own footprint and now we’re starting to make movements outside of that. So we’re about, as we’ve said, we’re ahead of where we expected to be at this point and we’re very pleased with what our retail group has done.
Paul Patterson – Glenrock Associates : On the economic outlook, you sounded a little bit more I think there was a little bit more of a less optimistic perhaps, I don’t mean to read into it, maybe you can clarify a little bit more outlook for 2009 in terms of how the economy has been operating, I know you are going to give guidance on December and I don’t mean to jump on that, but what do you think about the economy now with respect to 2010 and what do you think we’re going to see, do you have any flavor for that when you talk to your customers and what have you.
Mark Clark : I think our customers are as concerned as we are as to where they are. But again, the union at Mattel was very surprised that they added the second shift as fast as they did. You got [inaudible] added 2,000 workers for the Chevy crews so, Ford added on their engine plants. So we’re seeing fairly significant changes in some of the individual facilities but we’re still seeing an overall softness which is why we’ve kind of lowered the top end of our guidance.
Paul Patterson – Glenrock Associates : For 2009, but for 2010, do you think--
Mark Clark: We’ll give you that in December.
Operator: Your final question comes from the line of Daniele Seitz - Dudak Research
Daniele Seitz - Dudak Research: I was wondering if you could help me out your higher transition cost recovery margin it seems that you were anticipating a negative $1.31 and it seems that a lot of it has been pushed into the fourth quarter, is that correct, or I didn’t completely understand how much did you have so far for the nine months.
Mark Clark : Are you taking about the transition costs—
Daniele Seitz - Dudak Research: Exactly.
Daniele Seitz - Dudak Research: The $0.28.
Daniele Seitz - Dudak Research: Right the $0.28, I was wondering what was the number for the nine months.
Mark Clark : The transition revenues would be down a little over $220 million. But then the amortization offsets some of that, which is we’ll say $83 million, so you’re getting a $139 million net net in that which is roughly the $0.28 a share. I think that’s, those are the numbers.
Daniele Seitz - Dudak Research: But it seemed that for the year you were anticipating $1.31 negative impact, and it looks like if I put the second and third quarter together its far from that number. I was wondering how much it was for the nine months.
Anthony Alexander : I think perhaps you’re looking just at the revenue side of that equation. The net for the first nine months has been about $0.56 a share.
Daniele Seitz - Dudak Research: So you’re still looking at like $0.75 coming, and that’s all going to be in the fourth quarter.
Anthony Alexander : Right it will probably be something less then $0.35.
Mark Clark : I’d like to thank everyone for joining us on the call today. Anthony and I look forward to seeing many of you next week at the EEI Financial Conference and as always, we appreciate your continued support and interest in FirstEnergy. Thank you all very much.